Operator: Ladies and gentlemen, thank you for standing by and welcome to the eBay Q4 2020 Earnings Call. [Operator Instructions] I would now like to hand the conference over to your speaker today, Joe Billante, VP of Communications and Investor Relations. Thank you. Please go ahead.
Joe Billante: Good afternoon. Thank you for joining us and welcome to eBay’s earnings release conference call for the fourth quarter of 2020. Joining me today on the call are Jamie Iannone, our Chief Executive Officer and Andy Cring, our Interim Chief Financial Officer. We are providing a slide presentation to accompany Andy’s commentary during the call, which is available through the Investor Relations section of the eBay website at investors.ebayinc.com. Before we begin, I would like to remind you that during the course of this conference call, we will discuss some non-GAAP measures related to our performance. You can find a reconciliation of these measures to the nearest comparable GAAP measures in the slide presentation accompanying this conference call. Additionally, all revenue and GMV growth rates mentioned in Jamie and Andy’s remarks represent FX-neutral year-over-year comparisons unless they indicate otherwise. In this conference call, management will make forward-looking statements, including without limitation, statements regarding our future performance and expected financial results. These forward-looking statements involve known and unknown risks and uncertainties, and our actual results may differ materially from our forecast for a variety of reasons. You can find more information about risks, uncertainties and other factors that could affect our operating results in our most recent periodic reports on Form 10-K and Form 10-Q and our earnings release from earlier today. You should not rely on any forward-looking statements. All information in this presentation is as of February 3, 2021, and we do not intend and undertake no duty to update this information. With that, let me turn it over to Jamie.
Jamie Iannone: Thanks, Joe. Good afternoon, everyone, and thank you for joining us. I’ll begin today’s call with some key highlights from last quarter of last year, and walk you through an update on the progress of eBay’s tech-led re-imagination. I will then turn the call over to Andy to discuss the details of our recent performance and near-term outlook. Overall, 2020 was a great year for sellers and buyers on eBay. We are pleased that we closed out the year with strong results. For Q4, gross merchandise volume in marketplaces grew 18%, well ahead of our expectations. The holiday season contributed to the strong performance as we saw record volume with high velocity in hard-to-find and sold-out items. Refurbished gifts also emerged as a top trend, and we saw many products from top brands in our certified refurbished experience sell out completely. Our buyers were very active during the holiday season. In the U.S., 1 in 10 online shoppers bought something on eBay. In Germany, that number was 1 in 7. And in the UK, it was 1 in 4. In addition to this holiday surge, we experienced unprecedented traffic levels for most of 2020, and yet our platform had the highest availability in the last 6 years. To put this in context, more than 100 days in 2020 exceeded peak 2019 traffic levels. eBay has been able to seamlessly handle these peaks, while keeping our marketplace open for all during a global pandemic. For the full quarter, revenue grew 10 points faster than volume, up 28% driven primarily by payments and advertising. And we delivered $0.86 in non-GAAP earnings per share, which was above our expectations and included reinvestments for the long-term. Our customer metrics grew on both sides of our marketplace in the quarter. Active buyers grew 7% to $185 million globally, and our active seller base increased by 5% as more small business and consumer sellers listed and sold on the platform. These results capped off a tremendous year for eBay. In 2020, we added an incremental $14 billion of GMV, that’s more growth in the past 7 years combined. Organic revenue grew 21% and non-GAAP earnings per share grew 49%, and we returned nearly $5.6 billion to shareholders through dividends and buybacks. In July, I laid out a long-term vision for the company, and we have rearchitected our roadmap to achieve our tech-led reimagination over the next few years. We also made progress on our multiyear initiatives, payments and advertising, which drove tremendous financial results while providing customers with a significantly improved experience. We continue to make significant advancements with our managed payments transition, ending the year with over 1 million sellers migrated. During the quarter, eBay managed payments for over 38% of on-platform volume. In the U.S., we exited the year with over 50% of the migration complete. In addition to the 5 markets where we already launched, transitions have been announced or underway in France, Italy, Spain and Greater China. We have also started to transition consumer sellers in the U.S., UK, Canada and Germany. Seller satisfaction has improved compared to Q3 and NPS scores from sellers in managed payments remain more than 10 points higher than the NPS of sellers who have yet to migrate. Over the course of 2021, we plan to roll out payments to remaining markets, launch cross-border trade and release product capabilities for all use cases. This roadmap opens up managed payments to all sellers globally and places us firmly on our path toward 100% migration. As the vast majority of the transition will be complete by the end of this year, we are well positioned to deliver at least an incremental $2 billion in revenue and $500 million in operating income annually in 2022. In Q4, advertising growth outpaced volume once again as sellers lean further into promoted listings to grow their business. For the quarter, promoted listings delivered over $215 million of revenue, up 57% despite having lapped a major product launch that drove strong acceleration a year ago. For the full year, promoted listings grew 86%. This product continues to grow, in part because sellers who have adopted promoted listings are seeing, on average, a double-digit sales increase. Our total advertising revenue reached a new milestone in 2020, passing $1 billion for the year. We see tremendous growth potential remaining as this represents approximately 1% of GMV, well below industry benchmarks. We expect advertising revenue to outpace volume for the foreseeable future. Now I’d like to share an update on the transfer of Classifieds to Adevinta. We remain excited to bring together 2 highly complementary businesses that can create tremendous value over time. We believe the deal is on track to close as we have received the vast majority of regulatory approvals. We expect closure by the end of the first quarter, subject to the remaining regulatory approvals which we are working to obtain. We also recently announced that we are exploring options for our Korean business. Our 2 local platforms, Gmarket and IAC, have built leading e-commerce positions by tailoring to customer needs with innovative experiences. With a paid loyalty program of over 2.5 million members, and a growing first-party inventory program, these businesses primarily focus on new and seasoned products from B2C sellers with limited cross-border trade. As we mentioned in our press release, we will not be communicating any further information about the strategic review process until there is material information to disclose. I will now provide an update on the progress we have made towards our long-term vision for eBay. The three strategic priorities to support this vision remain the same: first, to defend our core by building compelling next-gen experiences for enthusiasts; second, to become the partner of choice for sellers; and third, to cultivate lifelong trusted relationships with our buyers. In the past few months, we launched several new product experiences aligned with this vision. While we still have a long way to go, we are encouraged by the initial reaction from buyers and sellers and the acceleration in GMV in several categories. During the fall in the U.S., we launched authentication for luxury watches, and quickly rolled out a similar experience to sneakers a few weeks later. We have put a greater focus on protecting buyers and sellers by preventing counterfeits and eliminating fraudulent returns. These experiences are driving significantly higher-than-average customer satisfaction, and we see opportunities to expand this capability to other verticals and markets. This new product experience is driving material growth in these categories for U.S. business. For luxury watches over $2,000, we saw a double-digit increase in GMV growth in Q4 versus Q3, driven by higher sell-through rates and higher average prices. For sneakers over $100, we saw triple-digit growth year-over-year in Q4. While some volume growth is due to the effects of the pandemic, significant growth drivers included the authentication rollout, pricing reductions and marketing changes. Sneaker buyer behavior is a great example of the power of the eBay platform. In 2020, the average customer who purchased a pair of sneakers over $100 spent a total of $2,500 on eBay. Approximately 80% of that spend was in categories outside of sneakers. We will continue to drive more cross-category shopping to grow GMV per buyer over time. To expand the buyer base, we are investing in new channels, including social marketing to reach more Gen Z and millennial customers. We launched a TikTok campaign called Lace ‘Em Up, generating 4.7 billion views. And we also have been partnering with celebrities, famous athletes and influencers on exclusive promotions. Another area of non-new and season inventory we’re focused on is outlet fashion. In the UK, we launched an optimized brand outlet experience with 150 fashion brands offering products at deep discounts. This contributed to strong double-digit GMV growth in fashion ahead of UK market rates. We also saw active listings double and active buyers in the category grew 30% in Q4. Moving on to the second key priority of our vision becoming the platform of choice for sellers. In addition to enhancements in payments and advertising, we continue to provide small businesses with more tools and capabilities to help them grow. In Q4, we added more automation and scale to sell our initiated offers. This uniquely eBay feature allows sellers to escape the limits of a buyback by enabling them to offer custom deals to individual buyers. For the year, seller-initiated offers drove over $1.2 billion of GMV. Another win for sellers on eBay in Q4 was in SEO. The work we have done in the past to optimize our platform for search engine ranking and visibility is paying off. SEO traffic is growing faster than paid channels and delivering more new buyers to small business sellers on eBay. Last, we continued to increase seller visibility in our native app by driving traffic to their eBay stores. 95% of our store subscribers have migrated to the newest experience, and they are seeing a 20% average increase in visits to their storefront. The third key priority of our strategy is to cultivate lifelong trusted relationships with buyers. To achieve this, we are leveraging technology to remove friction throughout the buying journey. A major focus for us has been the native app experience. In 2020, almost half of our global GMV was transacted in the app, and it continues to grow faster than the overall business as buyer and seller preferences evolved. We have maintained high ratings in both iOS and Android, and our app was downloaded more than 50 million times in 2020. To drive engagement from buyers on mobile, we have simplified item pages, made it easier to like or share an item and provided more exposure by creating direct access to seller stores. Additionally, we improved conversion by enhancing search relevance and streamlining sort and filter options, allowing app users to find what they are looking for faster. While we are focused on delivering our vision, we remain committed to keeping our purpose at the forefront by leveraging the power of our platform to support our communities. One way we did this last year was by helping to quickly and efficiently distribute PPE to frontline workers in the UK eBay partnered with the UK’s National Health Service, the Department for Health and Social Care and logistic partners on this effort. I am proud to report that in December, the NHS PPE portal powered by eBay reached a significant milestone. Together, we delivered more than 1 billion PPE items to more than 45,000 social care providers in the UK. Another way the eBay platform provides opportunity is by enabling a thriving customer community that loves to give back. During the year that has been challenging for so many, the eBay for Charity community continues to be an inspiration. 2020 was a record-breaking year with nearly $123 million raised globally in charitable donations. The generosity showed by our buyers and sellers is amazing. The spirit of a global community centered around connection and economic opportunity for all is clearly alive and well. Over the course of 2020, eBay invested more than $100 million to support the growing needs of small businesses around the world through programs like Up & Running. These programs provided the access, training and resources needed to start selling online and connect new sellers to eBay’s global community of buyers. And just last quarter, we announced further assistance through Up & Running grant program. In the coming weeks, we will reward a number of eBay U.S. small business sellers a grant package worth $10,000 each. As I have mentioned in the past, at eBay, we focus our sustainability initiatives on the most impactful goals that will help strengthen our business and provide the most value to all our stakeholders. And our commitment to climate action and transparency is being recognized externally. We were once again included in the Dow Jones Sustainability World and North America indices and recognized in the Carbon Disclosure Project A List for the first time. In the past year alone, we have avoided an additional 720,000 metric tons of carbon emissions through people selling their pre-owned electronics and apparel on eBay. In summary, we are making progress on our vision to realize the enormous untapped potential of eBay, and we have a clear roadmap for 2021 and beyond. Our payments transition is on track and will largely be completed this year. Our advertising business will continue to outpace volume through promoted listings and other products. As we defend the quarter, we plan to expand our new vertical experiences to more markets and innovate in more categories. To-date, we have only touched a single-digit percentage of our global GMV, but in the coming years, that will expand to a majority of volume. To build a platform of choice for sellers, we will continue to expand the stores experience and give sellers more tools to increase velocity. We will also leverage technology to dramatically simplify the end-to-end selling process for consumer and business sellers. To create more lifelong buyer relationships, we will connect with them through new channels, deepen their engagement with the eBay app and deliver trusted experiences when they shop with us. Last but not least, we will continue to invest in product and technology, and evolve how we spend marketing in order to become the best marketplace in the world for buyers and sellers. I know we can accomplish all of this due to the fantastic team I have the privilege of leading. Our employees live our purpose in 2020, and I look forward to what we can do together for our customers in 2021 and beyond. With that, I will turn the call over to Andy to provide more details on our financial performance. Andy?
Andy Cring: Thanks, Jamie. I will begin my prepared remarks with our Q4 financial highlights, starting on Slide 4 of the earnings presentation. In Q4, we generated $2.9 billion of revenue, $0.86 of non-GAAP EPS and $715 million of free cash flow, while returning $529 million to shareholders through share repurchases and cash dividends. Moving to active buyers on Slide 5, we exited the year with 185 million buyers, representing 7% year-on-year growth, a 2 point acceleration versus the third quarter. Since the end of Q1, we’ve added 11 million buyers to the ecosystem and are seeing retention rates in line with historical cohorts. We continue to see growth in GMV per active buyer across the buyer base. Moving to Slide 6, in Q4, we enabled $26.6 billion of marketplace GMV, up 18% year-on-year. While volume decelerated 3 points versus the third quarter, we did see modest acceleration compared to September growth rates, driven by a decrease in consumer mobility and benefits from ongoing improvements in the product experience across horizontal work streams and the progress we’re making in key verticals. In the U.S., we generated $9.6 billion of GMV in Q4, up 25% year-on-year, decelerating 8 points from Q3. International GMV was up 15% year-on-year, a 1 point acceleration versus the third quarter, inclusive of growth in our off-platform Korean business at 5%, accelerating 1 point from Q3. For the full year, the marketplace platform generated $100 billion of GMV, up 17% year-on-year, an acceleration of 19 points versus the prior year. Turning to revenue on Slide 7, our Q4 net revenue was $2.9 billion, up 28% organically, accelerating 2 points. We delivered $2.6 billion of transaction revenue, up 31%, accelerating 3 points from Q3, driven by our payments migration and strength in advertising. In managed payments, strong execution continued as we rapidly expanded seller migration to the new payments platform, reaching over 38% of global on-platform volume in the quarter. In addition to the higher customer satisfaction metrics that Jamie mentioned, managed payments contributed 10 points of incremental revenue growth versus 2019. Transaction take rate was 9.8% for the quarter, accelerating 40 basis points, driven by managed payments and promoted listings partially offset by FX. This is the second straight quarter with a 40 basis point increase, and we expect take rate to continue to grow as managed payments and promoted listings continue to scale. We delivered $270 million of marketing services and other revenue, up 3%, accelerating 4 points from Q3, mostly from a lower headwind from lapping the sale of brands4friends, partially offset by first-party growth in Korea, which decelerated approximately 40 points to 60% year-on-year growth. For the full year, the marketplace platform generated $10.3 billion in revenue, up 20%. Year-over-year growth was driven by higher volumes as well as strong execution in our initiatives. In advertising, we cleared $1 billion, ahead of expectations and powered by the 86% growth in promoted listings. And managed payments delivered 8 points of incremental revenue growth in the second half of the year. Turning to Slide 8 and major cost drivers, in Q4, we delivered non-GAAP operating margin of 28.1%. This is up approximately 20 basis points year-on-year, driven by volume leverage and growth in advertising, partially offset by reinvestments and FX. Cost of revenue was up over 1 point year-on-year, driven by managed payments and our first-party inventory program in Korea, partially offset by volume leverage. Sales and marketing expense was down approximately 50 basis points versus the prior year as volume leverage and spend efficiency were partially offset by investments in our vertical strategy and brand advertising. Product development costs were flat as volume leverage was offset by investments in the product experience, including managed payments. G&A was down approximately 70 basis points, primarily from volume leverage and cost control, partially offset by charitable donations to support the eBay Foundation. Transaction losses were down 10 basis points as bad debt rates have performed better than expected. For the year, operating margin was 31.3%, up 3 points; 2 points from volume upside, net of reinvestment; and 1 point from continued cost efficiency related to our operational review. Turning to EPS on Slide 9, in Q4, we delivered $0.86 of non-GAAP EPS, up 31% versus the prior year. Non-GAAP EPS growth was driven primarily by higher volume, a reduction in share count driven by our repurchases and growth in advertising and payments, partially offset by a higher tax rate and investments in our vertical strategy and brand advertising. For the year, we delivered 49% growth in non-GAAP EPS, primarily driven by volume, reduction in share count from our repurchase program, growth in advertising and payments in addition to continued cost efficiency, partially offset by FX, a higher tax rate and lower interest income. GAAP EPS for the quarter was $1.12, up 94% versus last year. The increase in GAAP EPS is mostly driven by the same factors of non-GAAP performance, plus the change in the value of investments, including the fair value of the Adyen warrant, partially offset by a higher tax rate. For the year, we delivered 100% growth in GAAP EPS, primarily driven by the fair value of the Adyen warrant, non-GAAP performance, our share repurchase program, partially offset by a higher tax rate. As always, you can find the detailed reconciliation of GAAP to non-GAAP financial measures in our press release and earnings presentation. Moving to Slide 10, in Q4, we generated $715 million of free cash flow, up 27%, driven by higher earnings. We had a very strong year of cash generation finishing 2020 with $2.7 billion of free cash flow, a 29% increase year-on-year, driven by top line growth, improved working capital and lower CapEx, partially offset by higher cash taxes. Moving to Slide 11, for the quarter, we ended with cash and investments of $4.1 billion and debt of $7.8 billion. In Q4, we repurchased nearly 8.5 million shares at an average price of $49.46 per share, amounting to $419 million. For the year, we repurchased nearly 124 million shares at an average price of $41.31, amounting to $5.1 billion in total. We ended the year with $2 billion of share repurchase authorization remaining. Moving to Slide 12, I’d like to provide an update on our investments, starting with the pending Classifieds transaction. As Jamie said, we remain excited to bring together 2 highly complementary businesses that can create tremendous value over time. When we announced the transfer on July 20, the valuation was $9.2 billion based on a mix of cash and Adevinta shares. The share price has appreciated by over 10%, which increased the value of the Classifieds business to nearly $10.7 billion based on recent trading levels. We expect that the cash portion of the transfer will provide approximately $2 billion net of tax. And we currently expect any future sale of our stake would be a taxable event at the prevailing statutory rate. Turning to Adyen, the warrant we acquired in Q2 of 2018 is valued at $1.1 billion at the end of Q4, an increase of $770 million year-on-year. This is an additional value driver stemming from our payments initiative, incremental to the plan of at least $2 billion of transaction revenue and $500 million of operating profit that is expected in 2022. You can find more information on the Adyen warrant in our 10-K. For both of these investments, we remain excited about the optionality they provide, including the significant value each can generate for shareholders. Moving to guidance on Slide 13, given the limited visibility to potential outcomes in the longer term, we are providing guidance for the first quarter and we will reassess providing longer-term guidance at a later date. For Q1, we are projecting revenue between $2.94 billion and $2.99 billion, growing between 35% to 37% on an organic FX-neutral basis. This assumes marketplace’s volume growth in the low 20s, driven by strength in e-commerce and continued improvements in our user experience. In addition, we expect further take rate expansion driven by ongoing strong execution in managed payments and advertising. We expect non-GAAP EPS of $1.03 to $1.08 per share, representing 49% to 57% growth. We expect non-GAAP EPS growth will be driven primarily by volume, lower share count, managed payments and advertising, partially offset by continued investments in product and marketing. We are expecting GAAP EPS from continuing operations in the range of $0.81 to $0.86 per share in Q1. In February, our Board approved a 13% increase to our quarterly dividend, raising it to $0.18 per share. The dividend will be payable to shareholders of record as of March 1 with the payment date of March 19. Our Board has also approved an additional share repurchase authorization of $4 billion, with no expiration, raising the total authorization to approximately $6 billion. While we aren’t guiding for the full year, we do want to provide some additional context for our path forward. On volume, while we are in early days, we feel great about the progress we are making on the strategy we’ve laid out, and believe these efforts will continue to deliver growth as we scale. In the near term, it is important to note that we will begin to lap significantly tougher comps toward the end of Q1. And looking at Q2 specifically, we will be facing into our peak level of growth in 2020, that was driven by the first wave of mobility restrictions, stimulus payments around the world and supply chain disruptions that our globally distributed sellers were well positioned to overcome. We expect revenue will continue to outpace GMV as seller migration into managed payments nears completion. And we expect ads to continue to grow faster than volume on our way to the next $1 billion. On margin, we expect to continue to drive operational efficiency, while investing into higher rates of long-term revenue growth. We maintain our commitment of delivering 2 points of margin expansion versus 2019, achieving at least 30% by 2022. We expect to deliver strong free cash flow and we will continue to return capital to shareholders through share buybacks and dividends while being opportunistic with strategic M&A to accelerate our core strategy. Throughout 2020, we strengthened our balance sheet by leveraging favorable market conditions to improve rates on our outstanding debt within our existing targets and tenants. We will continue to optimize our capital structure and recently announced our intention to call our retail bond that we plan to replace with debt at favorable rates in 2021. In summary, 2020 was an extraordinary year. We added $14 billion of GMV and 11 million active buyers to our ecosystem. We executed in payments and advertising, which delivered a combined 7 points of incremental revenue growth compared to GMV for the year, 13 points in the fourth quarter. We processed over 38% of on-platform GMV through managed payments in the fourth quarter while improving experiences for buyers and sellers. We cleared $1 billion in advertising in the year, highlighted by 86% growth within promoted listings. We grew non-GAAP EPS by 49%, and delivered strong free cash flow of $2.7 billion. We executed a comprehensive portfolio review, including the divestiture of StubHub for $4 billion, the pending transfer of eCG assets at a favorable valuation and announced the decision to explore options for Korea in January. We returned nearly $5.6 billion to shareholders through share repurchases and cash dividends, repurchasing $5.1 billion of our own shares, taking advantage of a market price that we do not believe reflects the value of our company. And in these imaginably tough times, we were there to help our employees, sellers, buyers and communities while delivering strong results for our shareholders. We exit 2020 having improved the underlying health of the business by delivering on the strategy we implemented this year. And we entered 2021 focused and excited to deliver on the next phase of the strategy as we build more compelling next-gen experiences, become the partner of choice for sellers and cultivate lifelong trusted relationships with our buyers. And now, we would be happy to answer your questions. Operator?
Operator: [Operator Instructions] Our first question comes from Eric Sheridan with UBS. Your line is open.
Eric Sheridan: Thanks so much for taking the questions. Maybe two, if I can. Appreciate all the color on some of the vertical moves you are making, especially with respect to watches and sneakers. Can you talk a little bit just strategically about how much you already have in place to capitalize on looking – going vertical by vertical within the marketplace or how much your sort of investments you have to make to unlock the opportunity over the longer term? And then understand on what you face in the middle part of the year with respect to comping against the growth from a year ago. Can you just talk philosophically about how much you think your exit velocity is going to matter against running against that comp versus how much you might want to make investments to sustain momentum in either buyer growth or buyer behavior to sort of outrun the comp through some of the investments you might be able to make against the business or just letting sort of the market play out from a comp perspective? Thanks so much.
Jamie Iannone: Yes. Thanks, Eric. Let me take the first one on verticals and then Andy can take the second. So, we invested in those verticals really based on the strategy that we laid out in July of focusing on non-new and season and opportunities where we had strength to win. And if you look at those categories being watches, sneakers, which we rolled out surely after watches and then Certified Refurbished, we saw really great growth rates. I mentioned the triple-digit growth rate that we saw in sneakers. You got to remember, this was a business that had been in decline. And so to see it as strong as this shows us the power of really focusing on those verticals and the end-to-end experience for our customers. And so while those categories represent a single-digit percentage of our GMV, the plan is to continue to roll out new category experiences from an end-to-end perspective over the course of the coming years, eventually meeting the majority of our GMV. I will add that we included another area for us in the UK, where we piloted a fashion brand outlet with 150 fashion brand sellers performed really well, double-digit growth ahead of the market and ahead of what we expected. And so that kind of gives us the confidence that the strategy is working and the confidence to continue to rollout more categories over the coming quarters and years.
Andy Cring: Yes, Eric. And then on the second part of your question on comps and investments, clearly, there is a lot of noise now with what’s going on with the pandemic, but that hasn’t stopped or really changed the approach we have taken towards building towards longer term growth. It’s given us a little bit of a tailwind to lean in a bit on investment. But the beauty of this model is as I said in my prepared remarks, we are committed to the 30% margin and we believe that we have got a very strong plan to get there. And we feel like we have done or made great progress on the initiatives this year, exiting the year stronger, certainly stronger than we entered and stronger than we had anticipated when we entered the year as we look at the controllable aspects of growth if you peel apart what we can see from COVID-related items.
Eric Sheridan: Great. Thanks, guys.
Operator: Our next question comes from Edward Yruma with KeyBanc. Your line is open.
Edward Yruma: Hey, guys. Two quick ones for me. I guess first you’ve made some really strong strides in getting some new customers, getting them back to the platform. I guess what are you doing to kind of ensure that they aren’t just one and done. If it’s not they were buying something COVID related or buying a video game system for their kids this holiday. And as a follow-up nice to see the strength in sneakers and watches, I know you guys have a third-party authentication services, I believe. Kind of what’s the scalability of those solutions as you continue to grow those businesses? Thank you. 
Jamie Iannone: Yes. So starting on the buyer ones, we acquired 11 million buyers over the course of the year. And what we’re seeing is that the behavior, when we look at things like frequency and retention, is not different and is as strong as we’ve seen in past cohorts, which means they didn’t just come to us for eBay to buy a specific PPE and then we won’t see them again. We’re doing a good job of turning a percentage of them into enthusiasts. And what we’re really focused on is how do we turn them into cross-category shoppers. So as I mentioned in the remarks, a sneaker buyer who comes into eBay is going to be worth $2,500, or they end up buying $2,500 worth of GMV. But only 20% of that is in sneakers, and 80% of that will be in other categories across the site. And that’s a huge advantage for us because of the cross-category nature that we have of the platform. And it’s also a specific focus and something that we lean into a lot is driving it. And a lot of that growth is coming from C2C, and is bringing Gen Z and millennials to the platform, which is also critical and part of our strategy. In terms of the authentication, we’ve ramped up the amount of authenticating we’re doing to now every sneaker over $100 going through the authentication platforms. And we’re seeing great response and great operations there. So consumers are getting their sneakers really quickly, and the authentication process is working. And look, while it’s a very, very small percentage of things that we find where there are issues that guarantee for customers is a huge differentiator and is a big part of what’s leading to the triple-digit growth. So we’re leaning in a lot in terms of marketing and acquiring those customers in that category, and we’re excited for what we’re seeing.
Edward Yruma: Thank you, Jamie.
Operator: Our next question comes from Ross Sandler with Barclays. Your line is open.
Ross Sandler: Hi, guys. Just two questions. First is international, it looks like you had some nice acceleration there. You mentioned Korea, but I would guess that UK and Germany are also accelerating. And based on the guidance, it’s probably happening again in 1Q. So I guess, can you just walk through how much of that’s like these company-specific initiatives versus just the overall kind of macro situations like mobility and lockdowns in 4Q and 1Q? And then second question is you mentioned that SEO is growing faster than paid, I think, was the comment. And that was a problem area from like 6, 7 years ago. So just, I guess, what are you doing that’s new to unlock that SEO and how big could that channel be for you guys on a go-forward basis? Thank you.
Andy Cring: Got it. Hey, Ross, I’ll take the first one. On Q4 dynamics and then the international versus U.S. split, it looks like there’s a bit of a difference between U.S. and international growth rates, with the U.S. down 8 and international accelerating on a quarter-over-quarter basis. That’s really less an impact of what we saw in the fourth quarter and more an impact of kind of the unwind of the second quarter spike and how third quarter rates played through. So keep in mind, in the U.S. in the third quarter, the growth rate – the deceleration from Q2 was a little less. So when we look at third quarter – or fourth quarter and how it plays through into the first, it’s really for us more what we saw – what we’ve seen since September with some acceleration really in all – basically all countries around the world. And that’s played through to the first quarter, and it’s implied in the acceleration you see in our Q1 guidance. So clearly, mobility plays a large role in sustaining a level of growth and driving a bit of acceleration. But again, the initiatives we’re working on and the progress we’ve made with regards to product and marketing and managed payments and search contribute as well to the acceleration on a quarter-over-quarter basis. But clearly, the majority of that’s going to be mobility driven, but underlying performance is better.
Jamie Iannone: Yes. And I’d say on the SEO, look, there’s a number of things that we’ve been doing in terms of how we structure our listings and work with our content and designers that actually specifically drives it. There was some Google algorithmic change which we benefited from. And we’ve been doing some upper funnel, specifically in targeted verticals, which we think helps some of our lower-funnel activity. I think the important thing to remember is, in general, 80% of our traffic on the site is organic and people coming to us directly, and that’s really one of the strengths and assets of eBay. But certainly, the SEO is helping us with our initiatives to drive cross-category purchase and drive consideration.
Operator: Our next question comes from Colin Sebastian with Baird. Your line is open.
Colin Sebastian: Alright. Great. Thanks guys. Congrats on the quarter. I’m going to follow up again on cross-marketing, just to understand how new this initiative is, if it’s something you’ve been working on throughout 2020 and if you have any metrics on maybe the number of cross-category purchases. And then secondly, I know there is some more focus on the competitive landscape. Perhaps you guys could comment on how you are perceiving the landscape with some call them up and coming marketplaces that cross some of your key categories? Alright, thanks.
Jamie Iannone: Yes. So look, on the cross-marketing, I think it’s been important for eBay. Since I was here the first time, it continues to be a really important thing when you look at driving the CLTV of our buyers. If I go back to the sneaker example, I talked about the 80% outside the category, and that represents them purchasing in 10 categories out of that core category. I would even broaden that question to say, we’re really studying a lot that first kind of 90-day experience for a customer and looking at all the things that drive the retention of them. And so getting them to download the mobile app, getting them to shop across category, getting them to watch or save items and really driving more of our marketing technology to align to driving the retention of the buyers. And that’s why we are excited to see that. A big reason why we also focused on C2C selling is because if we acquire that buyer to come in as a buyer and then we get them to just do any kind of casual selling, they become 2x to 2.5x more valuable to us as a buyer. So really that whole kind of introductory life cycle and being really algorithmic, and using our best data science and AI, really working on our marketing technology to be able to leverage that more is a key focus for us. And look, on the competitive landscape, we feel great about our positioning. We significantly improved the NPS of our experiences, especially in those focused verticals that we talked about. And we’re seeing really good feedback from buyers and sellers. And that’s always the leading indicator is that CSAT and NPS performance and what’s happening there. And so that, combined with the payment CSAT stuff we’re seeing where sellers that are moving to our payments 2.0, our managed payments platform, have a 10 point higher NPS, is making us feel really good about where our competitive positioning is. And last thing I’d say is just thinking about the scale, right? So we talked about $14 billion GMV that we grew year-on-year last year. That’s more than the last 7 years combined. That’s more than most vertical competitors would do in a year, we grew more than that amount. So being able to leverage those 185 million buyers, and have their purchasing cross-category is a huge and unique asset for eBay.
Colin Sebastian : Great. Thanks, Jamie.
Operator: Our next question comes from Stephen Ju with Credit Suisse. Your line is open.
Stephen Ju: Okay. Thank you. So I think, Jamie, previous management teams have talked about looking at managing the amount of page real estate dedicated to promoted listings for system or legacy forms of advertising. So are you yet in a place where you’ve had to make those types of trade-off decisions in terms of one versus the other? And secondly, you recently announced the rollout of managed payments to both merchants and buyers in China. So I think part of the benefit of working with Adyen has been that you can accept different forms of online payment, which you probably couldn’t do before. And this theoretically should help you take down some of the friction against cross-border trades. So does this help you think about potentially expanding your customer acquisition funnel as well? Thanks.
Jamie Iannone: Yes. So first, on the advertising business, feel great about hitting the $1 billion milestone. As we look at it, a lot of that growth is being driven by the growth of promoted listings. And as we analyze it, we’re seeing better seller penetration of people coming on the platform, better technology and tools in terms of our ability to do relevance, and we’re not seeing it degrade the buyer experience, which is what gives us comfort that when we look at it in total being 1% of our total GMV that we have the opportunity to continue to have advertising growth faster than our GMV on the platform, and really based on that strength of promoted listings. On your question on managed payments, absolutely, it’s a huge part of the win is really streamlining the payment process and providing more payment options. Cross-border trade for us has always been a great business, a really unique business to eBay and specifically in the Greater China corridor and helps us bring on new buyers to the platform and a different type of inventory. So between what we’re doing in terms of speed pack and some of the forward deployed inventory, plus now as we expand payments to Greater China, we think that will help a number of the quarters in terms of our cross-border trade business.
Stephen Ju: Thank you.
Operator: Our next question comes from Thomas Forte with D.A. Davidson. Your line is open.
Thomas Forte: Great. Thanks for taking my question. So you sort of touched on this in the prepared remarks, but I was hoping you could give a little more of an answer on it. So you’ve made a number of changes to your operating assets over the last 18 months, wanted to get additional details on your thoughts on your long-term capital allocation strategy, including M&A, buybacks and dividends? And on the M&A part, are you looking more for tuck-ins or would you be looking for something more of a growth-type asset, too? Thank you.
Jamie Iannone: Yes, there is really nothing different about our thinking towards capital allocation. Our model gives us the flexibility to both invest back in our business organically and opportunistically to look at M&A as well as return capital to shareholders. Our business generates a high amount of free cash flow. We have a strong balance sheet. And I think we have a track record of both exercising discipline in our portfolio as well as maximizing value for shareholders. So we’ll continue to look opportunistically at M&A and do so for tech and talent or areas that we believe are going to accelerate the strategy that we laid out in July. Andy, do you want to add anything to that?
Andy Cring: Yes. I mean, I think the only thing I’d add is, while we do – it’s a pretty active playing field with what’s coming with eCG and the like. I think if you look at historically what we’ve done with StubHub and some of the things in the past, you can expect it will be consistent in what we’ve done. Our tenants and targets are unchanged. And our number focus is do what we can to invest back in the business to grow organically, look at M&A, where it helps us to do that. We remain committed to shareholder return. And I just expect us to continue to do that.
Thomas Forte: Great. Thanks for taking my question.
Operator: Our next question comes from Tom Champion with Piper Sandler. Your line is open.
Tom Champion: Great. Good afternoon. We’ve done survey work here that reflects a rising interest in pre-owned goods among Gen Z and the millennial cohort. Just curious if you are seeing this trend reflected in your new buyer growth as well, whether you would kind of agree with that? And then maybe just a second question around advertising. There are clearly some larger Internet platforms saying iOS changes will make small business advertising more difficult and degrade ROI this year. And just curious if you think this represents an opportunity for eBay to step in and offer a solution among SMBs? Thank you.
Jamie Iannone: Yes. So, first on the Gen Z and millennials, absolutely, it’s a huge area of why we are focused on pre-owned not only because of the attractiveness there, but also just the impact on the planet. If you look at the numbers that we talked about from saving 720,000 metric tons of carbon emission, we recently did a survey, it probably sounds like much of the survey that you’ve done. And what we saw is that 72% of our sellers that come and start selling on the platform are doing so because they need to earn a little bit of extra money and some percentage of those are actually because they lost their job, and so they’re looking for opportunities on just making money on the platform. The other thing that’s important to remember is that we believe that people have about $4,000 of items in their house that they can sell, less than 20% of that is online. And so there’s a huge kind of social element which we’re leaning into as part of that, but definitely a focus on the Gen Z millennials. And you’re seeing that in sneakers, you’re seeing that in what we did with our brand fashion outlet in the U.K., and you’ll see us continue to focus on attracting that customer to the platform.
Operator: Your next question comes from Youssef Squali with Truist Securities. Your line is open.
Jamie Iannone: And before you do, I forgot that I didn’t answer your advertising question. So let me just cover that one real quickly. So look, we believe that ads is beneficial for us because we essentially have a closed platform. We’re able to drive the majority of that growth through promoted listings, where we actually can see the actual relevance, the implications, the click-throughs, all of the data that makes that impactful. So yes, that gives us, I think, a lot of bullishness in terms of the future opportunity for us in advertising, especially since we’re only penetrated at 1% of GMV. And we think there is opportunities to continue to expand the number of sellers that use the platform as well as build new capabilities to make that platform even more attractive with some new tools, etcetera, which you’ll see over the coming quarters and coming years.
Youssef Squali: Can you hear me?
Jamie Iannone: Yes. Go ahead. Sorry about that.
Youssef Squali: Excellent. Hey, no, thanks a lot. Thank you for taking the question. I just have a two-part question. One, if I look at Slide 6, the GMV breakdown, it looks like U.S. GMV was up 25% year-on-year, which is pretty impressive. If I look at it on a sequential basis, it was actually slightly down in a seasonally strong quarter. I was wondering if you can expand on that. And then related to that, as I look at your guidance for Q1 kind of what’s baked into your guidance in terms of the mix between U.S. growth versus international? Thank you.
Jamie Iannone: I think it was just about U.S. versus international for Q1 guidance.
Andy Cring: Yes. I’ll take that one first. Just on the – it’s a little similar to the question earlier. Based on the trends we saw in the fourth quarter, kind of the movement in U.S. versus international was relatively similar. So as we look into Q1, what we’ve seen thus far in the quarter and therefore implied in the guide is similar movements by country, so no real difference U.S. and international in terms of quarter-over-quarter dynamics. And then the first question, was it U.S. GMV only the deceleration?
Youssef Squali: Yes, yes, yes. It’s basically shown on Slide 6, yes.
Andy Cring: That one again – yes, sorry, Youssef. That one, I think, again, if you – is less an issue – or less a component of Q4 activity as much as it is a hangover in Q3 of the spike in Q2. So the U.S. – I mean we had clearly a very large volume spike in the second quarter. Volume in the U.S. hung in longer in the third quarter, partially as a result of stimulus, partially as a result of some of the supply chain disruption. And then as that slowed down through the end of the third quarter, some of that’s what you’re seeing play through in the quarter-over-quarter dynamics. But as I said, from September on, the activity by country has been relatively similar.
Youssef Squali: Got it. Andy, that’s helpful. Thanks, Andy. Thanks, Jamie.
Operator: Our next question comes from Bob Drbul with Guggenheim Securities. Your line is open.
Bob Drbul: Hey, guys. Just a couple of quick questions really. On the 7% increase in buyers, what would you put in the largest factors to the new buyers during this period versus what we’ve seen over the last I don’t know 9 to 12 months? And I guess the second question is just, are you seeing any change in Buy It Now versus the auction type buying with the consumer? Thanks.
Jamie Iannone: Yes. Sure, Bob. So look, the increase in buyer is, in part, doing a lot of the strategic work that we’re doing and the focus verticals, you saw us do more marketing in the quarter, really talking about some of the new capabilities that we have out there. And we leaned in from a reinvestment standpoint to not only acquire those buyers, but to really to work on driving the retention of those buyers into our key platforms. So obviously, in a number of countries, it’s also pandemic-related relative to mobility, but we’ve also been leaning in to kind of take advantage of that and drive their cohort curves. And we’ve been impressed that we’ve been seeing from that perspective. In terms of the makeup of different format, Buy It Now remains the vast majority of what’s on the platform. We do see strength in auctions in areas like collectibles, which is a category that’s growing strong for us. But not only does Buy It Now remains strong, but we’ve innovated over the years in things like best offer and in seller-initiated offers. And seller-initiated offers, as an example, is almost the inverse the best offer. Best offer is the buyer making an offer. Sellers can actually make specific individual offers to sellers who have interacted with one of their products, and we’re doing $1.2 billion already in that. It’s one of the unique elements of the eBay platform as auctions, best offers, seller-initiated offers are all ways for buyers and sellers to get to a negotiated price on the platform. But overall, Buy It Now still remains the vast majority of the business.
Bob Drbul: Great. Thank you very much.
Joe Billante: Hey, operator, we got time for one more.
Operator: Our final question will come from Brian Nowak with Morgan Stanley. Your line is open.
Brian Nowak: Thanks for taking my question. I have two. Just the first one, Jim, I appreciate all the color around sort of the way you are studying the first 90 days of experience of the consumers and sort of the 80% of the traffic that comes organically. I’d be curious to hear about, in the U.S., talk to us about what you’ve seen as being the one or two key categories that have been the biggest enablers of the new people who have come to the platform. And how have you seen that change from last spring to now. Which categories are sort of driving the new people to the category? Then secondly, just as we think about the advertising business, just talk to us about qualitatively what types of investments you still see yourself needing to make internally to sort of ensure that the advertising business is set up to continue to scale and deliver value for the merchants? Thanks.
Jamie Iannone: Yes. So look, the buying behavior that we saw over the course of the year, it started in PPE equipment, then went to kind of stuff that people needed to work-from-home or stay-at-home, things like fitness equipment and laptops and that type of thing. But after that, it was really broad-based and continues to be broad-based in terms of where we’re acquiring buyers. So, from everything from people spending time with their hobbies and parts and accessories or fixing up their cars to Certified Refurbished on what we are doing there, we are definitely seeing strength in buyer acquisition and the focused verticals that we have been talking about. So like apparel that we worked on in the quarter with the brand fashion outlet and in the areas that we announced in the U.S. and we will be expanding globally. So more important for us is not where we acquire them, but getting really smart and using a lot of AI about what’s the best second category, how we’re using all of our tools and capabilities across marketing and the apps and the websites to get them to interact in different parts of the business. And that’s where I think about it just getting a little bit better every single day in how we’re able to do that is going to be what continues to help drive those numbers. From an ads perspective, we’re focused on the tools and capabilities to make it easier for sellers to use the product to give them templating and reporting of how it’s doing and be able to have that closed-loop ROI on the spend that they have on the platform to make it more applicable to C2C sellers and make it really easy there, because obviously if you think about a sophisticated B2C seller, it’s easier to interact with and much easier understands in advertising product. So, that’s a big component of what we’re doing. And then also just building new algorithms and relevance and machine learning into are we displaying the best thing to the buyers. So we continue to expand the program while not degrading the buying experience and, ideally, enhancing the buyer experience through what we’re doing on our advertising products. So what you’ll see is just continued quarter-after-quarter innovation in that product to help us keep the – grow the – and reach the potential of the product and have it continue to outpace GMV for the near and medium term.
Brian Nowak: Great. Thanks, Jamie.
Jamie Iannone: Yes. 
Operator: Ladies and gentlemen, we have reached the end of the allotted time for questions and answers. I’ll now turn the call back over to the company for closing remarks.
Joe Billante: Alright. I think we’re all set. We can close the call. Thanks, everyone.
Operator: This concludes today’s conference call. You may now disconnect.